Operator: Good morning. My name is Kimika, and I will be your conference operator today. At this time, I would like to welcome everyone to the PNC Financial Services Group Earnings Conference Call. [Operator Instructions] As a reminder, this call is being recorded. I will now turn the call over to the Director of Investor Relations, Mr. Bill Callihan. Sir, please go ahead.
William H. Callihan: Thank you, and good morning, everyone. Welcome to today's conference call for the PNC Financial Services Group. Participating on this call are PNC's Chairman and Chief Executive Officer, Jim Rohr; and Rick Johnson, Executive Vice President and Chief Financial Officer. Today's presentation contains forward-looking information. Actual results and future events could differ possibly materially from those anticipated in our statements and from historical performance due to a variety of risks and other factors. Information about such factors, as well as GAAP reconciliations and other information on non-GAAP financial measures we discuss, is included in today's conference call, earnings release, related presentation materials and in our 10-K and various other SEC filings and investor materials. These are all available on our corporate website, pnc.com, under the Investor Relations section. These statements speak only as of April 18, 2012, and PNC undertakes no obligation to update them. Now I'd like to turn the call over to Jim Rohr.
James E. Rohr: Thank you, Bill, and good morning, everyone. Thank you for joining us this morning. We are starting 2012 as we had expected, with an excellent first quarter performance that builds on last year's significant accomplishments. Once again, we have grown the number of customers we serve, effectively managed risk and expenses and returned value to our shareholders. We saw strong revenue growth this quarter as a direct result of our strategy to grow customers and loans. Net interest income was up as were several client fee categories. Let me share some highlights. We earned $811 million in net income or $1.44 per diluted common share. That includes first quarter integration costs of $145 million or $0.18 per share. In early March, we closed on RBC Bank (USA) and successfully converted nearly 1 million customers. This acquisition was accretive to our first quarter earnings, excluding the integration costs. Earlier this month, we announced a 14% increase in our quarterly dividend, quarterly common dividend to $0.40 a share, along with plans to repurchase up to 2.5 million -- $250 million of common stock in 2012. We continue to have remarkable customer growth in the first quarter, and I'll say more about that in a minute. We saw $8 billion in average loan growth in the first quarter, a 5% increase, following strong results in the fourth quarter. And due to customer growth, loan growth and our expanded footprint, we saw a 5% increase in revenue in the first quarter. Overall, credit quality remained stable and expenses remained well managed. Our balance sheet remained highly liquid and core funded with an 85% loan-to-deposit ratio, and our Tier 1 common capital ratio remains strong and is estimated to be 9.3% as of March 31. The impact to our capital ratio of purchasing RBC Bank was approximately 1.2 percentage points. And with regards to the RBC Bank, we estimated an internal rate of return that we gave you at the acquisition time to be 19%. In terms of generating long-term shareholder value, we see that as a more valuable use of capital than share buybacks. At this point, with the conversion behind us, we feel even better about this transaction now. And lastly, we continue to believe we're well positioned with Basel III capital requirements, and we expect our capital ratios to grow from here. Now moving to RBC's acquisition. The acquisition of RBC Bank significantly expanded our footprint, adding approximately $15 billion in loans and $18 billion in deposits to our balance sheet. More importantly, it gives us access to a very attractive markets in the southeast. With more than 400 branches, this was our largest single branch conversion in our history, and the process was nearly flawless. And that's what makes us so optimistic. Frankly, when we learned that the -- when we identified the gap between the RBC Bank product offerings and our product set was larger than even we had anticipated. For example, even online statements were not available. Beginning on the first day of business, as our products became available over the -- after the -- as a result of the conversion, we saw customers coming into the branches to open accounts with our new service capabilities. In less than 2 months since conversion, we already have a substantial pipeline of treasury management business and have plans in place to grow our corporate and institutional business much in the same way as we did following our acquisition of Riggs. Our Asset Management Group has developed a solid list of referrals from our business partners in our new markets already. And our new management teams are in place and are comprised of a combination of RBC Bank employees and legacy PNC employees who act as culture carriers, bringing both product and corporate knowledge to these new markets. Looking ahead, we have more people to hire this year in the southeast. We'll be acquiring approximately 200 additional personnel for the Corporate & Institutional Bank and Asset Management over the next 9 months. We've got tremendous applications for these jobs. Overall, this acquisition is off to a great start, and we see tremendous opportunities to grow in these markets. And as we mentioned, it was accretive immediately x the integration costs. Now turning to our business segments. We see current -- the current environment as a great time to add customers, and they're -- as there's ongoing disruption in the marketplace and the cost of client acquisition has never been lower, and we can see -- we continue to see strong client growth in the first quarter of 2012. Now let me begin with Retail Banking, where we believe our products and our business strategy are driving significant customer growth. We launched a new suite of checking and credit card products about a year ago, and the acceptance continued to be strong. In fact, 61% of new checking accounts opened in the first quarter were relationship accounts. Our goal is to reach 70% by year end. Our Virtual Wallet product is helping to drive these gains. In the first quarter, we added an average of more than 7,000 new Virtual Wallet customers per week. All together, this strategy helped to add 57,000 new organic checking accounts in the first quarter, which is consistent with the excellent growth we saw last year. And of course, we want to deepen these relationships, and we continue to do so. We saw active online bill payment customers increase 5% linked quarter. That's at a 20% annualized rate. Our Corporate & Institutional Bank had a good first quarter. Average loans increased by nearly $6 billion, driven by new client growth, new and existing client activity and the RBC Bank acquisition. As you’ll recall, for the last 2 years, we announced a goal of adding 1,000 new primary clients and we beat it both years. In the first quarter, we added 243 new names and we're looking to add more throughout the year. However, we are seeing greater pricing pressure in some markets, which will influence our client growth. Of course, we plan to remain focused on writing business that generates the appropriate risk-adjusted returns. We continue to see strong deposit inflows into our noninterest-bearing demand deposits, as our safety and soundness is attracting customers' liquidity in the current low interest rate environment. Turning to our Asset Management Group. They delivered a very good first quarter. Referral sales grew nearly 40% in the first quarter compared to the same period a year ago, reflecting strong activity from Retail and Corporate & Institutional Banking referral activity. The sales growth, along with higher equity markets and successful customer retention efforts, helped to drive Asset Management inflows. Discretionary assets under management were up nearly 5% on a linked quarter basis. In addition to building our capabilities in the southeast, we're continuing to increase our client-facing staff, especially in our highest potential markets, such as Chicago, Florida, Milwaukee and D.C. In the first quarter, the Asset Management Group added 64 employees and has a full year goal of 250 new hires. Residential Mortgage had a strong loan production in the first quarter. Originations were up 11% linked quarter to $3.4 billion, primarily driven by refinancing volumes. We continue to expect these volumes to grow from here throughout the year. And BlackRock reported earnings this quarter. They had another very good quarter, and Larry will be speaking to you shortly, I believe. Overall, this was an excellent quarter for PNC, and we're off to a very good start for the year. And now Rick will provide you with more detail about our first quarter results.
Richard J. Johnson: Thank you, Jim, and good morning, everyone. Our first quarter net income was $811 million or $1.44 per diluted common share. Keep in mind that these results included $145 million or $0.18 per share of integration costs. In my remarks today, I'll focus on the following: the growth of our high-quality balance sheet, the strong increase in revenue and our disciplined expense management resulting in positive operating leverage, our stable credit costs, our strong capital position and our improved outlook for the full year 2012 versus 2011. Now let's talk about our balance sheet on Slide 7. Overall, loans increased by approximately $17.2 billion, of which approximately $14.5 billion is attributable to the RBC Bank acquisition and $3.4 billion or 5% is due to organic growth in commercial lending. Average loans increased by $8.4 billion linked quarter, with gains in every loan category. We saw the highest linked quarter increases in commercial and consumer lending, driven by the RBC Bank acquisition, of $4.7 billion and organic growth in commercial lending of $3.7 billion. Average commercial loans increased by $5.8 billion on a linked quarter basis due to the impact of RBC Bank, along with new and existing client production in corporate banking, real estate finance and business credit. Average consumer loans were up by $1.6 billion due to continued growth in auto loans and the impact of the RBC Bank. Overall credit quality continued to improve in the first quarter when compared to last year. On a linked quarter basis, while we continue to see modest improvements in legacy PNC credit quality, we will keep our guidance, meaning relatively stable linked quarter due to the additional credit risk assumed with the RBC loans. Net charge-offs stayed relatively stable. Overall, delinquencies were lower linked quarter while nonperforming assets increased related to the acquisition of RBC Bank and a policy change related to home equity loans. As a result, our provision remained relatively stable. Turning to liabilities. Transaction deposits were up by approximately $17 billion linked quarter, reflecting the RBC Bank acquisition and organic growth. Higher cost retail CDs and legacy PNC were lower by $4.2 billion as we continue to reposition this book to lower our cost of funds. The acquisition of RBC Bank also added $4 billion in CDs. Borrowed funds increased by $5.8 billion linked quarter to fund loan growth. We have been tapping short-term markets and federal home loan borrowings to meet our growth in loan balances. As we will essentially complete our CD repricing and runoff in the second quarter, I expect there will be better alignment between our loan and deposit growth in the second half of the year. Shareholders' equity increased by $1 billion in the quarter, primarily due to retained earnings. Now let's turn to our improving net interest income on Slide 9. Let me start with our average earning assets, which grew by $9 billion or 4% linked quarter. Yield on interest-earning assets declined modestly compared to the fourth quarter while the cost of funds continued to decline. Loan spreads, especially in Corporate Banking, have narrowed as we would expect as low rates and the competition for assets continued to put pressure on market pricing. However, interest-bearing liabilities were down 10 basis points linked quarter due to our effort to reprice CDs at much lower rates and reduce our overall funding costs. As a result, our net interest margin of 3.9% increased modestly from our fourth quarter results. Our first quarter net interest income was $2.3 billion, an increase of $92 million or 4% linked quarter. Loan growth, including the acquisition of RBC and reduced funding cost, enhanced our performance. Looking ahead, we have about $5 billion in higher-cost CDs scheduled to mature in the second quarter, and this book has a weighted average rate of about 2.2%. Given the non-relationship nature of many of these accounts, we only expect to retain about half of the maturing CDs, and we expect those to reprice on average to approximately 30 basis points. While interest cost on deposits will level out in the second half of the year, we see future benefits to our funding cost related to calling trust preferred securities. We announced in March that we were calling $306 million at a weighted average rate of 6.2%. And last week, that we are calling another $500 million at 6.6%. We have an additional $1 billion at an average rate of 10% with par call dates later this year to consider. This gives us the opportunity to replace these securities with lower cost funding, providing us with substantial benefits in the future. As an example, the $750 million of trust preferred securities redeemed in the fourth quarter of 2011 had a rate of 6.6%. They were refinanced at a 10-year rate of 3.3% and immediately swapped into 3-month LIBOR funding at 1.7%. As with the trust preferred redemption in the fourth quarter of last year, we will incur noncash charges related to these future redemptions. I will provide you details on these charges in our expense discussion. Now for those who follow the purchase accounting game, here's the latest for your scorecard. With the addition of RBC Bank, our purchase accounting accretion was stable linked quarter at $263 million. We have provided this information on Page 5 of our financial supplement. As I have said before, our balance sheet is positioned for rising interest rates, and we plan to remain patient in the current environment. As you can see on Slide 9, we reported approximately $1.4 billion of noninterest income was -- which was up $91 million or 7% linked quarter, primarily due to higher Residential Mortgage and Asset Management revenues partially offset by the seasonality of consumer-related fees and lower corporate service fees. Asset management fees increased by $34 million to the fourth quarter due to improved equity markets and our share in BlackRock. Corporate service fees decreased $34 million, primarily due to the impact of lower commercial mortgage banking revenue and lower M&A fees. Residential Mortgage fees were up $73 million, primarily driven by gains on hedging mortgage servicing rights and higher loan origination volumes. Consumer service fees and service charges on deposits were down a total of $18 million, primarily due to seasonality lower -- seasonally lower customer activity. Other increased $35 million primarily due to higher revenue, primarily from private and other equity investments. Growth in our diverse revenue streams is an important component of driving positive operating leverage. We see further opportunities for growth as a result of our large size, our excellent progress in adding new clients and our ability to cross-sell our products and services across our expanded franchise. Now turning to Slide 10. As we expected, first quarter expenses were down $264 million or 10% from the fourth quarter. This was a result of much lower charges for Residential Mortgage foreclosure-related matters in the first quarter versus the fourth quarter and a noncash charge for trust preferred securities redemptions in the fourth quarter, which were partially offset by higher integration cost in the first quarter. To give a better view of our expense trend, on this slide, we stripped out the impact of integration cost and the noncash trust preferred charge from the various expense categories to arrive at core expenses. Our core expenses for the first quarter of 2012 and the fourth quarter of 2011 were elevated by mortgage foreclosure-related matters and additions to legal reserves. These expenses are rather unpredictable and, therefore, difficult to forecast but we expect to see more of these expenses throughout 2012. In addition, the first quarter included $40 million for one month of operating expenses for RBC Bank. I would estimate quarterly spending of $170 million over time as we continue to invest in client-facing personnel to grow in this region. Looking ahead, we expect integration cost will be lower in future quarters. We estimate there will be $115 million in the second quarter and $49 million and $25 million in the third and fourth quarters, respectively. In the second quarter, we expect a noncash charge of $130 million or $0.16 per share associated with calling approximately $800 million of our trust preferred securities. We have $1 billion of securities with call dates in the third and fourth quarters, and if we call them, we expect the noncash charges to be significantly less, $83 million in the third quarter and $67 million in the fourth. Regarding our continuous improvement targets, we are looking to achieve $400 million in cost savings in legacy PNC and $150 million in integration savings with RBC Bank. Collectively, we have identified more than 600 initiatives to deliver savings and have completed more than 50 -- more than 40% to date, capturing nearly $250 million in savings on an annualized run rate basis. This gives us confidence that we will achieve our cost savings goals. Overall, strong balance sheet and revenue growth with disciplined expense management drove positive operating leverage on a linked quarter basis while credit costs remained stable. This resulted in strong earnings for the quarter that enhanced our shareholders' equity. Now as shown on Slide 11, our Tier 1 common ratio at the end of the first quarter is estimated to be 9.3%. That's down 120 basis points -- 100 basis points from year end, primarily due to the acquisition of RBC Bank. We believe we're well positioned to reach our Basel III Tier 1 common target of 8% to 8.5% by the end of 2013. And looking at our capital priorities for 2012, our #1 priority is to support client growth. In addition, we will return $1.1 billion in capital to our shareholders in the form of dividends and potentially in share buybacks. When you add the capital we returned to our shareholders, to the $2.8 billion of capital deployed for the RBC Bank acquisition, we will deploy total capital of almost $4 billion. We see this as an effective way to grow our franchise and deliver long-term shareholder value. Now let's turn to Slide 12 for our outlook for 2012 versus 2011, which assumes the economic outlook for the year will be a continuation of the current environment. Given our strong first quarter performance, improving economic conditions and the addition of the RBC Bank, we're improving our outlook for full year 2012 versus 2011. We expect full year loans to increase by mid to high teens. We now see net interest income increasing by high-single digits and noninterest income expected to increase by mid-single digits despite further regulatory impacts on debit card interchange fees. As a result, we are raising the outlook for our full year revenue growth to high-single digits. We now expect expenses to increase in the mid- to high-single digits over 2011, primarily due to increases in mortgage expenses as a result of higher volumes in the low-rate environment and further mortgage foreclosure-related matters. This guidance excludes noncash charges from the TPS redemptions and integration costs and of course legal and regulatory-related contingencies. Finally, due to continued stability in our credit metrics, we are updating our guidance on credit cost. Full year 2012 provisions should improve compared to 2011. We believe 2012 represents an opportunity to -- for us to deliver full year positive operating leverage. This forecast gives us confidence that 2012 will be a strong year for PNC earnings growth. And with that, I'll hand it back to Jim.
James E. Rohr: Thank you, Rick. This was a very strong quarter for PNC. With our expanded territory and an improving economy, we see tremendous opportunities to continue to grow customers and revenue. We continue to work to effectively manage our expenses and reduce credit risk. Our management team and our 57,000 employees are focused on meeting customer needs and leveraging our broad array of innovative products and services and the strength of our brand. As Rick just indicated, and subject to the assumptions he provided, we believe we're right on target to deliver a strong full year 2012. And with that, we'll be pleased to take your questions. Operator, could you give our participants the instructions, please.
Operator: [Operator Instructions] Our first question is from the line of John McDonald with Sanford Bernstein.
John E. McDonald - Sanford C. Bernstein & Co., LLC., Research Division: Rick, a couple of questions on net interest income, which looked like it came in better than expected. What was the contribution from RBC? And did that come in a little better than you guys had thought, and what drove that?
Richard J. Johnson: Yes, it definitely did, John. What we picked up was primarily the incremental interest income on the non-impaired loans. Overall, the total contribution of purchase accounting in the quarter for RBC was about $50 million. In addition, we had about $50 million of regular net interest income, so a total of about $100 million. So that was a strong driver. Because as you recall, John, we had said that PNC stand-alone would be relatively flat as the core would grow and we'd have further runoff in purchase accounting.
John E. McDonald - Sanford C. Bernstein & Co., LLC., Research Division: Okay. So that $50 million is part of the total purchase accounting accretion of the $263 million?
Richard J. Johnson: That is correct, John. That's correct.
John E. McDonald - Sanford C. Bernstein & Co., LLC., Research Division: And what's your outlook on that $263 million for the total purchase accounting accretion, Rick? How do you see that trending over the next couple of quarters?
Richard J. Johnson: Well, John, the piece related to impaired loans is pretty easy to figure out because that'll either stay where it is or go up as the portfolios improve, and that's about $80 million to $90 million for the full year. The piece that's maybe a little more difficult on the non-impaired loans, right now, that's estimated between, say, $250 million and $300 million, somewhere in that range. But on those loans, John, to the extent that those potential credit events could occur on that book, the amount of accretion when you go nonperforming could be less. So you shouldn't assume the total difference and the fair value mark will all come back into net interest income over time.
John E. McDonald - Sanford C. Bernstein & Co., LLC., Research Division: Okay. So when you put those together, your -- that's $263 million, if you like, is that what you're kind of embedding into your guidance and your guidance slide, that, that kind of level go for this year, at least, each quarter?
Richard J. Johnson: That's -- well, for the full year, John, we're embedding about $350 million for the full year, and that is embedded in our guidance. That's correct. And that includes both impaired and non-impaired loans. The -- if you -- put it all together and look at the yield on the portfolio, it's about a 7% yield on the loans we acquired from RBC.
John E. McDonald - Sanford C. Bernstein & Co., LLC., Research Division: Okay. And just to be clear, you're embedding $350 million for the year versus $263 million this quarter on purchase accounting accretion?
Richard J. Johnson: No -- yes, John, $263 million is PNC combined. This quarter, only $50 million of accretable yield is related to RBC. The RBC accretable yield for the full year is about $350 million.
John E. McDonald - Sanford C. Bernstein & Co., LLC., Research Division: Got it, okay. And did you tell us what the -- what you're thinking for PNC total accretable yield for the full year?
Richard J. Johnson: We're still on the same guidance we had before, John, which is that, that would be down $500 million 2011 to 2012.
John E. McDonald - Sanford C. Bernstein & Co., LLC., Research Division: Got it, okay. And one more thing on NI, Rick, does your outlook include the expected benefits of the TruPS redemption? Is that your planning?
Richard J. Johnson: Absolutely, John. I think we'll have -- as I mentioned, we'll have further benefits related to the CDs that reprice in the second quarter, which we've been forecasting for some time. But we also incorporated the benefit of the repricing of the trust preferred. In all likelihood, given the rates on those securities, unless there is something dramatic in terms of a rise in rates, we'll be calling those securities. And if there is a rise in rates, we'll be okay with that, too.
John E. McDonald - Sanford C. Bernstein & Co., LLC., Research Division: Okay. And then on -- just a little color on the improving guidance around credit costs. Is that driven more by charge-off, a change in your charge-off outlook, or just that you have more flexibility on reserve release? You're still holding a lot of reserves. Is that's what's driving the change in provision guidance?
Richard J. Johnson: It's the performance of the first quarter, John. We clearly have beaten the previous guidance we've given you in the first quarter, with it being down from an average of last year's numbers, as well as we feel good about what we're seeing, modestly improving credit quality statistics on PNC. And we think we've done a very good job of marking the portfolio of RBC and have considered the risks in that book and don't expect to have significant credit deterioration in that portfolio as well.
James E. Rohr: If you look at the numbers in the supplement, John, and when you get a chance, you'll see the nonperforming loan categories, with the exception of the home equity where we had the policy change, virtually all the nonperforming categories went down a little bit, which is a continuation of the improvement that we've seen. And when you go over, say, 60 days and over, we've had a similar experience in delinquencies. So it's not a massive improvement in credit quality, but the positive trends continue.
John E. McDonald - Sanford C. Bernstein & Co., LLC., Research Division: Okay. And the last thing for me was just a question on Basel III. With the improving outlook that you've given, it seems like you might be able to get to that 8% to 8.5% target earlier than you said previously, the end of next year. So just wondering why. Are you just being conservative about that, or why can't you get there a little bit earlier with the better outlook? Are there other puts and takes there?
Richard J. Johnson: Well, John, we're -- we do expect to continue in that forecast to have loan growth. And so the more loan growth we had, the more that's going to use up capital. And so therefore, we'll continue to have that. We did spend a bit of capital, as you know, on RBC. So that had an impact on where we're going. And we feel that we'll hit the 8% to 8.5% range in that time frame, and we see really no reason to get there any sooner.
Operator: Our next question is from the line of Erika Penala with Bank of America.
Leanne Erika Penala - BofA Merrill Lynch, Research Division: I just wanted to follow up on John's line of questioning on the margin and take a step back. So it looks like if we're doing a year-over-year comparison, the accretable contribution is really going to be down just 150 in 2012. And, Rick, tell me if you're still reaffirming this. You had told us in the past that you could probably extract about $800 million from the right-hand side of your balance sheet in terms of deposit and TruPS savings. And so I guess what I'm trying to get at is if you blend that all together, plus assume some sort -- continued pressure on the yield side, it seems like the margin guidance embedded in these numbers is for a fairly stable number. Am I putting the pieces together in the correct way?
Richard J. Johnson: No. I do expect that you will see pressure on the margin because we do expect to continue to grow the balance sheet, continue to grow loans. Yes, we will get benefit, and yes, we will have a good net interest income. But I think the growth in loans will cause it some modest pressure, is the way I would put it, on the overall margin.
Leanne Erika Penala - BofA Merrill Lynch, Research Division: Okay. And just -- is that -- do you still think that you could extract about $800 million in liability savings for the year, or is that number a little high?
Richard J. Johnson: No, no. I think that was pretty good in terms of where we're going to go. We basically -- we're going to get -- no, we're still on that number. We're $800 million improvement on the liability side, $300 million detrimental on the asset side and a decline of about $500 million in purchase accounting. And that relates to PNC stand-alone. Incremental to that, we expect to have RBC interest probably between $800 million and $900 million.
Leanne Erika Penala - BofA Merrill Lynch, Research Division: Got it, okay. And just to switch topics, on the home equity front. You noted that the change in classification in terms of more aggressively classifying delinquent loans as NPLs, how much of that $156 million linked quarter increase was attributed to that? And I guess the second part of that question is, I understand that you don't have a servicing portfolio or forced mortgage exposure that’s as large as some of your peers’. I'm just wondering if that change in internal classification was sort of in anticipation of some of the accounting change that your larger peers had to go through.
Richard J. Johnson: Well, the $160 million was because we've moved the nonperforming category from 180-day delinquency down to 90. And we'll continue to look at, in the second quarter, as to whether we should consider further movement into the nonperforming category, given whether we see delinquencies on the first. We don't have that -- we're going to probably be implementing similar policies to what you saw at the other institutions in Q2.
Leanne Erika Penala - BofA Merrill Lynch, Research Division: And the implementation of that policy, is that already embedded in your provision guidance for improvement year-over-year?
Richard J. Johnson: It is. What we'll probably take another look at is the classification, what's nonperforming, determine whether that has an impact on charge-offs. But we feel that the reserves we have today have adequately considered those risks, and therefore, we'll learn from the information. But we don't expect a significant change.
Operator: Our next question is from the line of Ken Usdin with Jefferies.
Ian Foley - Jefferies & Company, Inc., Research Division: It's actually Ian for Ken. Quick question on the expense ramp. I know you've given some pretty good guidance on merger integration and some of the TruPS stuff, but could you speak to kind of the step-up related to RBC in 2Q and the overall pace of cost saves going forward?
Richard J. Johnson: Yes. I think in terms of cost saves, we've given the $400 million as it relates to the stand-alone legacy PNC and $150 million on RBC, which we'll grow to $230 million next year, by the way, when we have the full year impact to that. And as I mentioned, we're well on our way to achieving all of those goals. So very comfortable there. RBC for the month of -- or the quarter and the month we reported, it was at about $40 million. But as Jim mentioned, we have some pretty significant plans to invest in frontline personnel in order to grow the Asset Management and the Corporate & Institutional Bank activity in that region. And so therefore, we expect, over time, the quarterly number there to grow to about $170 million.
James E. Rohr: That's already in our expense guidance, however, though. We built it into our budget for RBC.
Ian Foley - Jefferies & Company, Inc., Research Division: All right. And real quick on just cross-sell. Could you speak to the longer-term opportunities? I know you spoke to the fact that they don't even have online statements. But can you speak to the overall revenue opportunity, and how long it would take to get there?
James E. Rohr: Well, we haven't quantified it. The RBC franchise was primarily a retail franchise with some small business and commercial. And the product set that they had was very narrow and, to some extent, antiquated. I think they would use that term themselves. The cross-sell initiatives are already underway, as I mentioned, with the leadership that's involved. The leadership's already in place. And the treasury management has had a tremendous success right off the bat. So we're very, very pleased about that. We've only been there for 2 months, and I think the cross-selling opportunity there is as great as it is anywhere else in the company. So I would guess over the next 2 to 3 years, as we look at our National City experience, we had some of the National City markets take off last year. And we're looking at some of those National City markets as having 40% and 50% increases in sales this year, and so -- some of the ones that did not perform quite as well last year. So depending on how we're able to execute, I would think that this is a 2- to 3-year conversion to be able to ramp up all of our business lines and execute on our model.
Operator: Our next question is from the line of Todd Hagerman with Sterne Agee.
Todd L. Hagerman - Sterne Agee & Leach Inc., Research Division: Just a couple of questions here. First, just in terms of credit. You've mentioned, Rick, in terms of the provision improving over the course of the year. I just -- if you could give a little bit more color in terms of what you're seeing in terms of nonperforming assets. Specifically, I think you mentioned $160 million on the regulatory impact in the quarter but then you see the $1.243 billion in terms of inflows into NPL this quarter. So I'm just kind of curious, we've seen kind of a stabilization in nonperformers over the last several quarters. I'm just trying to get a gauge in how you're kind of seeing the outlook for nonperformers, in particular, and what we should expect in terms of the RBC reload effect on a go-forward basis?
Richard J. Johnson: Let me clarify your first comment, which is that we are not expecting credit to improve from where we are today in terms of the credit cost through the rest of the year. What we are saying is that we expect 2012 credit cost to be better than 2011 credit cost in total. So I wouldn't take what we booked as part of provision this quarter and start to see improvements through the rest of the year. I think it'll stay stable. I'm not expecting significant change in it, but I'm not suggesting it's going to go down quarter-to-quarter, okay. So just to clarify that. I think on the nonperforming assets, I think you have to remember that, one, you're right. We did have the change in the policy, which is about $160 million. We also added about $250 million of OREO assets in the acquisition of RBC. So that's why you see the inflow is elevated. That represents almost the entire increase in the inflow into the nonperforming category. Now I don't know -- I missed your third question, but...
Todd L. Hagerman - Sterne Agee & Leach Inc., Research Division: Yes. And then just the last part was just on what is characterized kind of like the reload effect in terms of, with the purchase accounting on RBC on a go-forward basis, how you might expect the trend in terms of just the incremental additions to nonperformers from RBC, in terms of how we should think about that and the aggregate nonperforming number?
Richard J. Johnson: I don't see a huge impact on that from the RBC. I think we did a really good job at taking a look at what they consider to be impaired. We went deeper in the book to identify other loans that we felt had elements of impairment, where they may not have called them nonperforming and so we impaired those as well. On the other side, I think the marks we took on the regular portfolio of the performing loans of about $1.1 billion, we think is adequate such that you have to -- the accounting on that book, just to -- I hate to go into the accounting too much, but remember, we'll be accreting that to future value, right, from the fair value to the EPV. We won't recognize net interest income if they go nonperforming. But we also won't recognize credit cost anytime soon unless you have a specific credit event. So as you compare the FAS 5 reserve against the unamortized discount, it's unlikely to exceed the unamortized discount. So I'm not expecting a lot of credit cost this year related to the RBC acquisition.
Todd L. Hagerman - Sterne Agee & Leach Inc., Research Division: Okay. And then just finally, again, on the home equity and what you added this quarter. Could you give us a sense -- I think you mentioned in your remarks that it could possibly change next quarter depending on delinquencies and so forth. Could you give us an idea of the first-position problem set of home equity? Kind of order of magnitude, what we potentially could be looking at in the next couple of quarters just as we think about delinquencies and the impaired first position?
Richard J. Johnson: Well, I wouldn't necessarily say this is going to be the answer to what the ultimate schedule is going to be. But if you look at some of the percentages other firms had put out, they're about 1.5% to 2% of their seconds, and we have about $25 billion of seconds. So we don't have a specific number, but I think there's no reason why we would expect our issues to be greater than that, given the quality of the underwriting that we did in our portfolio and the types of -- a lot of our home equity portfolio is in footprint. We know the customer. We know the -- we have the checking account. There's a lot of high quality to that portfolio.
James E. Rohr: [indiscernible] is we've been focused on the high-risk portion of the home equity book for a long period of time, and that's what’s been our primary focus. And so that's driven our reserve over time on our home equity book, and that's why we're not certain that there would be any meaningful impact on our provisioning in spite of what accounting change might take place.
Operator: Our next question comes from the line of Matt Burnell with Wells Fargo.
Matthew H. Burnell - Wells Fargo Securities, LLC, Research Division: Just a couple of quick questions, sort of, I guess, more on the core part of the portfolio, away from RBC. I guess -- Rick, you've mentioned some loan growth statistics on an organic basis. I just want to get a little more color in terms of where you're seeing growth. I presume it's more on the commercial side than the consumer side. Are there any markets that you're seeing that are doing particularly well or are not doing particularly well within the traditional PNC and Nat City franchise?
James E. Rohr: That's a great question. When you look at Page 6 of the supplement, when you get a chance, you'll be able to see the trends in loan growth, and a lot of it's tied to customer growth from March 2011 through to March 2012 quarterly. And those kinds -- it starts in March of '11 at $56.6 billion on the commercial side, that confirm what you were saying. Now I'd expect that the commercial has grown quite nicely, $56 billion to $75 billion over the course of that 12-month period. So we've seen a lot of loan growth on the commercial space, and we continue to see that. And I think the real thing that might mitigate it is the pricing, as I mentioned in my comments. Some of the pricing, particularly in Ohio, seems to have gotten to a place where you're not getting the right appropriate risk adjustment return, and we would not want to participate in that. But I think we've added customers. As we mentioned, 1,000 each year for the last 2 years, and another 243 in the first quarter in terms of commercial customers that pay us over $50,000 a year. So these are meaningful players, and that shows up in the loan growth numbers, 5% organic in the first quarter.
Richard J. Johnson: And then, Jim, to that point, I think we had growth on 24 out of our 32 markets in this quarter. So I think that's good diversification on that growth.
Matthew H. Burnell - Wells Fargo Securities, LLC, Research Division: And just a follow-up on the C&I side. The net unfunded commitments were up about $8 billion quarter-over-quarter. How much of that was RBC, and how much of that was core PNC?
James E. Rohr: Very modest portion of it is RBC because they really weren't and they aren’t and they weren't in that business.
Matthew H. Burnell - Wells Fargo Securities, LLC, Research Division: Right. And then just a final question. Rick, you mentioned mortgage originations, you felt were going to remain relatively healthy over the course of the year. Most of the banks that have reported already this quarter seem to suggest that they expect pretty good origination volume in the second quarter but are a bit more cautious about the second half. What makes you so confident about the stability of the strength of the mortgage market into the second half of the year? And what's the percentage of HARP refinancings that have been included in your first quarter originations?
James E. Rohr: About 30% of the first quarter originations were HARP. We expect the rates to stay low, which drives volumes. I think the HARP impact, you don't have to requalify as you had to in HARP 1, which was really the flaw in HARP 1. So I think the HARP 1 volumes will continue. And actually, when you see the housing business, it's actually getting better. And last but not least, seasonally, the first quarter is a weak quarter. So moving forward, the third quarter should be a strong quarter for housing.
Richard J. Johnson: Yes. I think the other thing I'd mention to you is the revenue guidance we have given you, which is high-single digits growth, is not dependent on the volume in the mortgage company. But if we don't have that volume, I would say that I think our expense guidance probably could be better than what we've given you so far.
Operator: Our next question is from the line of Ed Najarian with ISI Group.
Edward R. Najarian - ISI Group Inc., Research Division: So just a bunch of hopefully short-answer questions here. First one is, when I'm looking at the 30- to 59-day delinquencies going from $945 million to $1.3 billion, how much of that came from the RBC deal?
Richard J. Johnson: We'll look that up for you.
James E. Rohr: I've got it. I just have to get back to you.
Richard J. Johnson: It's not a huge number.
Edward R. Najarian - ISI Group Inc., Research Division: Is it most of it, or was it -- do you think most of it was the core bank increase?
James E. Rohr: Short answer, we don't know. We'll get back to you on the 30 [indiscernible].
Edward R. Najarian - ISI Group Inc., Research Division: Fine. Just in terms of taking $72 million of legal reserve costs and talking about how you expect more over the balance of the year, can you give us any more color around what that's for and what's going on there?
James E. Rohr: Well, I think -- we don't discuss our lawsuits in public, I don't think. What we do each quarter is we set up a reserve for what we believe is the existing liability. And so that's what we did in the quarter, and we're hopeful in settling a number of lawsuits in the future. And that's what you reserve for.
Richard J. Johnson: Ed, on your previous question, it's about $166 million in the RBC impact on the 30 to 59. And you're seeing most of that in the commercial space, as well as in the residential real estate.
Edward R. Najarian - ISI Group Inc., Research Division: Okay. So then on the litigation side, it's fair to say that something happened in terms of this quarter, in terms of your outlook to think that you'll need more litigation reserves relative to where you were at the end of the year?
James E. Rohr: I think what happened in the first quarter is we increased our estimates based upon what we thought various lawsuits might cost us. And that's an estimate, of course. I think our guidance is that, obviously, we reserve for what we believe is probable and estimable according to the rules. The guidance going forward, I think, has to be more of an industry guidance. If we were aware of more estimable and probable items, we would have reserved for it already. But if you look at what's going on in the industry, I think you would be hard pressed to make any other comment besides litigation will continue. It's probably reserve for what was probable and estimable for the quarter.
Edward R. Najarian - ISI Group Inc., Research Division: Right, okay. All right, that's helpful. And then quickly, you outlined a private equity gain or amount of private equity gain helped the revenue this quarter and net MSR hedge gains. Could we get those numbers?
Richard J. Johnson: Sure, Ed. The private equity is about $62 million. The hedge gains on the MSRs was about 72 -- $71 million.
Edward R. Najarian - ISI Group Inc., Research Division: Okay, great. And then I guess just 2 more quick ones, hopefully. You did again, this quarter, recapture a pretty good amount of reserves, yet, obviously, the loan portfolio growing pretty rapidly and then the impact of the deal as well. You're now down to 2.4% reserve to loan ratio. Should we probably expect the amount of reserve recapture to start to trend down pretty quickly here, or how much further do you think you can take the reserve to loan ratio down? I know those are sort of hard answers but maybe you can just give us a little bit of sense of that from an order of magnitude standpoint?
Richard J. Johnson: Well, Ed, I think the 2.4% you quote is, as you would imagine, a bit misleading, given all the impaired marks we have on the acquired loans. So therefore, the reserve on loans will actually be much higher than that. So it's hard to compare that to other industry stats if people haven't had acquisitions. So I think there's further room to reduce that over time in terms of that, that particular ratio, while still being adequately reserved for the acquired loans through the purchase accounting marks we've taken.
Edward R. Najarian - ISI Group Inc., Research Division: Okay. All right, that's helpful. And then last one, the -- one of the big things that look like it positively impacted the margin was the rate paid on CDs dropping from 116 basis points last quarter to 80 basis points this quarter. And I know that's been discussed a lot previously, but that’s still seemed like a giant move. Any more color on that, and then any more sort of thoughts on how quickly that 80 basis point number might decline in future quarters?
James E. Rohr: I think in the past, we've talked quite openly about the very high-priced CDs that National City have. And they've been rolling off for the last 18 months, and we had a big roll-off as we had forecasted in the second half of last year, which impacted our interest cost in the first quarter. I think Rick has a number of comments about the $5 billion that's rolling off in the second quarter this year, so.
Richard J. Johnson: Yes. And that 2.2%, I could see that. Overall, Ed, you see we've got deposit rate of about 31 basis points overall. I can see that going further down to probably between 20 and 25 basis points, something like that, based on more repricing that'll continue to occur in the second quarter.
Edward R. Najarian - ISI Group Inc., Research Division: Okay. But not -- you're not saying that that's going to go all the way down to -- you're saying that's going to go all the way down to 20 to 25 basis points in the second quarter?
Richard J. Johnson: I think that's all in on deposits when you consider some of the repricing of the broader book, as well as the impact of the CDs maturing and so on. I think it's -- I believe that overall cost of deposits of 31 basis points will continue to go lower. I'd be surprised if it goes below 20 basis points, but I could see it going lower for sure.
Edward R. Najarian - ISI Group Inc., Research Division: But that -- but getting to that 20 basis points is a number of quarters out once you have a lot more of the CD repricing and some of the other things we've discussed?
Richard J. Johnson: No. Almost all the major repricing we have, Ed, will be finished in the second quarter. After that, almost the entire book of CDs we have is pretty consistent with what PNC would consider relationship account and we would price -- that's already been priced accordingly. And the CDs we bought on from RBC, the $4 billion. They're at about 1.5%. They weren't -- they didn't have the large marks that you saw at National City.
Edward R. Najarian - ISI Group Inc., Research Division: Okay. So a big jump down in deposit repricing again in 2Q in your mind?
Richard J. Johnson: Yes, we have a $5 billion maturing at a 2.2% rate. We'll keep about half of those, and I expect the others to reprice down to around 30 basis points.
James E. Rohr: Remember, the 2Q number is affected by the maturities in the first quarter. And the 3Q number is impacted by the maturities that take place over the second quarter.
Operator: Our next question is from the line of Brian Foran with Nomura.
Brian Foran - Nomura Securities Co. Ltd., Research Division: I guess just following up on the expenses. Last quarter, you said, looking ahead, the first quarter would look a lot like the third quarter when you backed out all the noise, and that all seems to be true. But in the first quarter, you had some pretty good revenue trends, especially on some things like Asset Management and mortgage. So I mean, is the implication of that, that some of the revenue overage this quarter was extremely high incremental margin and didn't really affect the expenses? Or is the implication that even with the expenses associated with the better revenue trends, you still hit your expense target, which actually means the underlying expense trends were better than you had laid out?
Richard J. Johnson: The expense trends for the revenues we're generating today in the Asset Management side are already baked into the number. To the extent we continue to invest in more people, I presume we'll see more revenue beyond where we are today. On the mortgage side, it's a little bit more direct. As the mortgage volume goes up, the expenses go up with it. And we saw a little bit of that in the first quarter. One of the reasons why we have projected full year expenses to go to mid- to high-single digits is because of that volume and the fact that we'll see further mortgage-related expenses on that volume, as well as the mortgage foreclosure-related pieces. So I think mortgage expenses could go up as the revenues and volume goes up, where -- I think Asset Management, we're pretty much at the right running rate.
Brian Foran - Nomura Securities Co. Ltd., Research Division: And then just follow-up question on the potential for mortgage volumes, specifically through the HARP program. I mean, I guess one thing that's notable is you have the $120 billion servicing book. It has a 5.3% average coupon. That coupon hasn't come down a whole lot, a little but not a whole lot this cycle, and so it would seem to imply there's a lot of -- maybe a disproportionate amount of HARP-eligible borrowers in your servicing portfolio. Is that conceptually the right way to think about it? And is there any work you've done to maybe quantify how much opportunity there is to kind of HARP your own borrowers, if that's the right term to use?
James E. Rohr: I think we've done a fair amount of work in that. And that's why we're particularly comfortable with the forecast that we gave a little earlier, that we expected -- we expect these mortgage origination volumes to continue and actually grow through the rest of the year.
Brian Foran - Nomura Securities Co. Ltd., Research Division: Got it. And that would be a fairly -- while you expect rates to stay low, that wouldn't be very interest-rate sensitive in the sense that the people in the HARP program will benefit really as long as mortgage rates are below 4.75% or so.
James E. Rohr: I think you're exactly right on that. That was the qualification we gave a little earlier, and you're exactly right on that. The rates stay where they are today, we expect volumes to be very strong for the year.
Operator: Our next question is from the line of Gerard Cassidy with RBC.
Gerard S. Cassidy - RBC Capital Markets, LLC, Research Division: Jim, you mentioned the competition in Ohio in the commercial side is intensifying. Is that from the larger commercial banks, or is it from the smaller banks? Where are you guys seeing that?
James E. Rohr: It is -- I think we -- I don't think we don't want to be too particular. But the -- it does seem now that we have a relatively large footprint and, as Rick said, we've grown loans in 24 of our markets. And last year, all of our markets exceeded plan. Right now, we're just seeing that the pricing said -- not so much the structure, but the pricing side is starting to become so competitive that you're not getting the right risk-adjusted return. And so that -- I think we'll probably slow our growth there if we're not able to get that kind of return.
Gerard S. Cassidy - RBC Capital Markets, LLC, Research Division: Okay. I may have missed this as I jumped off the call for a minute. In the commercial loan growth that you reported, I know a portion of that was due to the RBC deal. How much of the commercial loan growth was organic versus purchased from RBC?
James E. Rohr: It was 5% in the quarter. I think that the most interesting thing to do is, when you get a chance, on Page 6 of the supplement, we've been driving it. We've talked about how we grew 1,000 primary customers each of the last 2 years in the Corporate Banking side. You can see it resulting in the loan growth that you see starting in March 31 of '11, where we have $56.6 billion and then it grew to $75.5 billion in the first quarter. I mean, those -- obviously, there was a yield. There were $10 billion lift in the first quarter. But we've been growing $3 billion or so a quarter right along for some period of time now in organic growth.
Richard J. Johnson: The $9.8 billion increase in the quarter, $3.4 billion of that was organic, which is a 5% growth over the prior quarter.
Gerard S. Cassidy - RBC Capital Markets, LLC, Research Division: Great. Rick, what is the duration on the securities portfolio now versus what it was in the fourth quarter?
Richard J. Johnson: Hasn't changed. I'm going to say probably between 2 to 3 years, somewhere in that range.
James E. Rohr: We remain short. We're not betting on interest rates. And as you can see, we're not making bets on adding a lot of residential mortgage loans to our book either.
Gerard S. Cassidy - RBC Capital Markets, LLC, Research Division: Right, right. But could you remind me on -- again, speaking of residential mortgage loans, the increase in the nonperforming assets that went to $741 million on the resi mortgages from $685 million. Was that -- where does that come from?
James E. Rohr: Residential mortgages on the nonperforming list?
Gerard S. Cassidy - RBC Capital Markets, LLC, Research Division: Correct, correct. That was the only category that really increased.
James E. Rohr: Yes.
Richard J. Johnson: We'll look it up for you.
Gerard S. Cassidy - RBC Capital Markets, LLC, Research Division: Okay. On the same kind of subject, you give us the -- on Page 10, the inflows and outflows of your non-accruals, has jumped up to $1.2 billion versus $854 million in the prior quarter. Is there any color behind the sequential increase?
Richard J. Johnson: Yes, Gerard. We had the -- with the change in the nonperforming policy for home equity loans, where we moved delinquency from 180 to 90, we moved it to nonperforming. That's about $160 million of the increase. The other piece of the increase is we acquired OREO assets from RBC of around $250 million. The 2 of those together make up for the inflow.
Gerard S. Cassidy - RBC Capital Markets, LLC, Research Division: Great. And then finally, Jim, when you look out -- obviously, the RBC deal is fresh. And when you look out on potential acquisitions in the future, is there anything that you're focused on, whether it's more depositories or asset management-type assets? Or what are you guys looking at from that standpoint?
James E. Rohr: I think we're -- what we're looking at right now is really building out the RBC franchise. We've got a good job, I think, of building out the National City franchise, but we're not complete yet. We've got some more hires in order to fully implement our business model in the National City markets. And we're brand new at the RBC markets, where RBC really didn't have full complex of products and services to compete in the marketplace like we do. So I think those are the -- the executing and those 2 acquisitions really is, by far, our biggest opportunity. And it's looking better than we have ever expected on both acquisitions, I might add.
Operator: Our next question is from the line of Mike Mayo with CLSA.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: My question relates to deals past, present and future. So thanks for the numbers from the legacy CDs from National City. What are -- what's the total amount of these high-priced CDs that still remain, and where do you think they ultimately go? I know you gave the numbers for the second quarter.
Richard J. Johnson: That's pretty much it, Mike. On the National City acquisition, which is where all the high-priced CDs came from. Those -- let's say, we've got about $5 billion repricing in the second quarter at average rate 2.2%. That's about it. After that, I would say the -- we picked up $4 billion from RBC at about 1.5%. That's -- some of those will reprice over time, but I'm not looking for a big drop in yield related to those or a big drop in cost.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: All right. So the big driver then will be RBC from an acquisition standpoint. How much accretion was there for the one month?
Richard J. Johnson: We had about $50 million of accretion related to purchase accounting RBC, which is a combination of accretion on the impaired loans as well as accretion on the non-impaired loans.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: And how about the EPS?
William H. Callihan: EPS accretion.
James E. Rohr: EPS accretion for RBC?
Richard J. Johnson: Around $0.05 to $0.07, Mike, somewhere in that range.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: That much for one month?
Richard J. Johnson: Yes, absolutely. I think if you think about the fact that we had -- we didn't issue any equity. You look at the cost we had for the month. It was $40 million. So as we had previously described, the ability to take cost out quickly was something that we're very excited about with this deal. And then when you add in the accretion related to the impaired loans and the unimpaired loans, you get to that much in the first month, yes.
James E. Rohr: X the integration cost.
Richard J. Johnson: X the integration cost, Mike.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: Right. So next quarter, just how much accretion do you expect? You get the full quarter impact.
Richard J. Johnson: I think for the full year, Mike, we'll get on this transaction, excluding integration costs, we should get close to $0.40 accretion.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: Okay. And then is that pretty much where you were before or is that better? I know for a while there...
Richard J. Johnson: It's better.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: Well, excluding the impact of capital.
Richard J. Johnson: Mike, it's better for 2 reasons. It's better because of the fact that we didn't have to issue equity, and we got clarity around that. So obviously, that's improved it. That's about $0.12, as well as the fact that we have higher accretion on the unimpaired loans than was originally anticipated.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: And then deals future, you're kind of hanging out down there in the southeast now. What about future acquisitions?
James E. Rohr: Well, I think the future acquisitions for what we see right now is building some new branches in a few places. I don't think -- I think really it's about people for us right now in the southeast. So we'll be acquiring people at a pretty good pace, but we've got lots and lots -- we have thousands of applications. So that's the execution for us and the opportunity for us right now.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: So a link-and-leverage strategy. How many branches do you think you'll open down in the south?
James E. Rohr: Not a lot. In the 10s, 20, 30, over time. We said -- for example, and I think we've talked about it, in Atlanta, we thought we would need maybe 100 branches in Atlanta in all -- in the right places in order to compete. So we acquired 55 with RBC and 27 with Flagstar, which puts us pretty close to where we need to be. So we could build a few branches and be done without having to do any meaningful acquisition at all.
Operator: Our final question comes from the line of Paul Miller with FBR Capital Markets.
Paul J. Miller - FBR Capital Markets & Co., Research Division: On the loan growth, I know you were talking about last quarter that you starting to see some really middle market guys starting to expand, getting a lot more confidence out there. Has that trend continued, improved or gone down?
James E. Rohr: No, I think it’s continued. I think the economy is, I think, continuing to do a little better each time we look. We're seeing unemployment has come down. Employment has gone up. We're seeing capital expenditures grow. We're seeing – a little bit more than we’re seeing capital expenditures grow. We've seen loans grow. So I think the economy continues to do a little better, and even housing is doing a little better in certain pockets. So I think the customers we have -- and we just finished a new survey and again, 40% of our new small business and middle market customers are talking about raising prices. So I think the -- obviously, their businesses are doing better. What we don't see is anybody stepping up saying, "I'm going to build a giant plant and add lots of people." Because I think that's the confidence level that's missing in this economy.
Paul J. Miller - FBR Capital Markets & Co., Research Division: And then what about loan competition? There's a lot of anecdotal evidence out there or commentary, I'd say, from banks about how people are doing loans at yields that don't make any sense and getting rid of personal guarantees on the underwriting side. But through their earnings cycle, no banks -- or all the banks are saying, "No, it's not us." I'm just wondering, what are you seeing on the competition side?
James E. Rohr: No, it's not us. We're -- obviously, we're being -- it's a competitive marketplace. It always is. The best loans are made in the worst of times and vice versa. So I think we're entering into better times, and banks are becoming more aggressive in their pricing and in their policies. We haven't seen a big change in structure, seeing some but not a big change in structure as you had, especially in the commercial and middle market side. It's a -- there's been a -- the pricing, especially on the larger credits, is clearly being impacted by competition. And we see it particularly in Ohio, where when we take -- when we look at -- take a look at our entire footprint. And by the way, we compete. We're not going to lose any big customers in Ohio for price. But -- unless it's really crazy. But when we're looking at new customers, I think we have to really make sure that we're getting the right risk-adjusted return on the relationship.
Paul J. Miller - FBR Capital Markets & Co., Research Division: And one last question is as -- I know you had mentioned that HARP was -- middle of the quarter, that HARP applications are very strong. Is that continuing, increasing? And how much of your pipeline is related to HARP?
James E. Rohr: About 30%. And it's continuing, and it's increasing.
Paul J. Miller - FBR Capital Markets & Co., Research Division: And just one other question, you might not know the answer. If not, you can get it to me. Is it mainly the 105s, 105% mean LTVs and below? Have you guys started doing the 125s yet for HARP?
James E. Rohr: I can't answer that question. We can get back to you.
Richard J. Johnson: We can get back to you on that one, Paul.
William H. Callihan: With that, I think that concludes our call. Jim, do you have any closing remarks?
James E. Rohr: Thank you very much, everyone, for joining us. We think it was a very, very strong quarter for PNC. We're very pleased with what we were able to accomplish this quarter, including the conversion of RBC and bringing it online, and we're pleased to raise the dividend, too. Thank you for joining us this morning.
Richard J. Johnson: Take care.
James E. Rohr: Good job, everybody.
Operator: This concludes today's conference call. You may now disconnect.